Alexander Saverys: Good afternoon, and welcome to the Cmb.Tech Earnings Release for the Second Quarter of this year. My name is Alexander Saverys, and I'm joined by my colleagues, Ludovic, Joris and Enya. We'd like to discuss the Cmb.Tech and Golden Ocean merger first to start. That is the news of last week. Then we will zoom in on the second quarter financials and highlights, concludes and have time for some questions and answers. Let me first start with the news of last week on the 20th of August, we have completed the Cmb.Tech and Golden Ocean merger to create a leading diversified maritime group. For those of you who have followed us before, you will recognize this slide, but I do want to take you through the combined Golden Ocean - Cmb.Tech fleet. We have today in 206 Modern Eco vessels on the water with another 44 on order. Of our 250 ships, about 1/3 will be powered or will be capable to be powered by ammonia and hydrogen. Our contract backlog stands at close to $3 billion, and the average age of our fleet is a tick under 6 years. The total fair market value of the fleet is close to $11 billion, we have $1.9 billion of CapEx commitments still outstanding. We are listed on NYC in New York, Euronext Brussels and since last week as well on the Oslo Bors. You can see the detailed breakdown of our fleet at the bottom of the slide with the major change being that Bocimar now has incorporated the fleet of Golden Ocean. We have added 89 vessels to the fleet, our dry bulk division now has 119 ships. After the merger with Golden Ocean, we are the largest listed diversified maritime group. You can see the comparison to some of our peers, the pure-play peers and the more diversified peers. We have a market cap of over $2 billion. Our free float is now a significant 38%. And recently, we have had a 3.5 million turnover in shares average daily turnover. Looking at our fleet and how it will evolve in the next quarters. We are adding newbuildings nearly every month, every week. You can see that today, our fleet stands at 206 ships. End of the quarter -- fourth quarter 2025, we will be at 218 vessels and we will add another 23 ships next year. So our fleet is growing and growing rapidly. Translated to available days, this is also an updated sheet after the integration of Golden Ocean into Cmb.Tech. You can see that we have about 54,000 days in 2025 and going to 60,000 days next year. And you can also see the detailed breakdown between the different segments. The dry bulk division Bocimar has become our largest division, and what we are showing on -- this slide as well is the split between our spot days and time charter days. You can see that in our divisions, containers and chemical tankers, we are very well covered on the time charter side and on dry bulk and tankers, crude oil tankers, we are very much spot oriented. The reason we're doing that has to do with many things, but primarily on our view on how we see the market in the next 12 to 24 months. On the right side of this slide, you can see the order book-to-fleet ratio in segments like dry bulk and tankers, where we see a low order book-to-fleet ratio, we're expecting better rates. We are more spot-oriented in segments where we believe there might be some oversupply in the months and years to come, we have taken more cover on the time charter side. I would like to hand over to our CFO, Ludovic, to talk a little bit about the financials and starting with the free cash flow of Cmb.Tech.
Ludovic Saverys: Yes. Thanks, Alex. This slide is trying to show in connection with the operational strategy of being open on dry bulk and tankers, what's the hypothetical 1 year free cash flow could be operationally, this is excluding the remaining CapEx to be paid, excluding the cash received from vessel sales. On the bottom right, we've made some assumptions. This is by no means a pure science but we have presented three cases where you can see that all throughout the various segments we would generate in a bear case, a loss of $35 million cash, medium case $170 million cash and on the upside, $380 million. Just to highlight, the bull case, the high case we're showing here, is actually the market today. So if the market would continue in the current state with our spot exposure, we would add roughly $380 million of free cash in the next 12 months. Going in through an update of the contract backlog. We have stayed at roughly $2.9 billion compared to last quarter. This is thanks to the additional long-term charters we have received from Golden Ocean primarily on Kamsarmaxes and 6 Capesizes that they originally had in their fleets. Moving then to the financials of Q2. We have ended the quarter of this year with a loss of $7.5 million which is $7.7 million profit for the old Cmb.Tech and a $50 million loss on the Golden Ocean exposure. The liquidity stands at roughly $400 million as of today, the contract backlog we've discussed, the outstanding CapEx of $1.86 billion. That is from August forward till the end, from which $1.6 billion we have already committed financing and $270 million is unfunded. So when people ask on this big order book, how much will we need to use from operational cash flow or vessel sales, the answer is $270 million, which is broken down $30 million remaining in this year of unfunded equity, $170 million next year and then $70 million in 2027, '28 and '29. If we focus a little bit more on the Q2 figures. On the left side, we show that our figures have indicated a higher revenue, higher OpEx, higher G&A and also higher depreciation. This is by the mere fact of putting the two companies together. On the right side, we are indicating that the figures have been impacted by some one-offs. I think there was $22 million on unrealized foreign exchange losses and interest rates swaps. We've had a loss on a sale of the Golden Zhoushan. And then obviously, when we merge, there is cost associated to audits, legal fees and financial advisories that have brought down the P&L in the second quarter. And on the highlights, we've mentioned the loss of $7.6 million and EBITDA of $224 million. We've completed the merger, as Alex mentioned, we are -- the Board has decided to issue a dividend for the Q2 figures of $0.05, which will be payable as soon as practically possible beginning October. The contract backlog we have discussed. We have signed in the combined entity, a new $2 billion facility from which $1.25 billion has been used to refinance the whole fleet of Golden Ocean, and we have $750 million of undrawn revolvers that we can use for repaying some of the other debt. We are listed on three exchanges, which we're pretty proud to be a member of the Oslo Stock Exchange as well. The deliveries of the newbuildings have continued unabated. We have 5 Newcastlemaxes, one CSOV and 2 CTVs. That is 6 Newcastlemaxes, apologies. VLCC Iris has been sold, the Hakata & Hakone have been delivered to their new owners and happy to report as well that we have sold the Sofia recently where we will log a capital gain of $20.4 million in the last quarter of this year. And we -- the Golden Ocean team has delivered 2 Kamsarmaxes and 1 Capesizes to their new owners last quarter and in the next quarter. This is again what we mentioned where as preliminary you can see the P&L breakeven set throughout divisions and what we have fixed on the quarter-to-date but Alex will jump in those figures at a later stage.
Alexander Saverys: Thank you very much. I will now zoom in on our Marine division and segment by segment to talk about a market update and what has happened in our various divisions. Starting with Euronav on the crude oil front. The picture you see here is our very first VLCC being built at Qingdao Beihai shipyards in China. Being launched, we will take delivery of the vessel in November of this year. Starting with some highlights, some of which have already been mentioned. Just reminding you that we have 10 VLCCs and 18 Suezmaxes on the water today. We have another 5 VLCCs on order and 2 Suezmaxes. The results time charter equivalent for the second quarter for RVs (sic) [ VLCCs ] sat at $45,000. Q3 quarter-to-date, we are at $32,000. For the Suezmaxes, the number is $40,000 for Q2 and also $40,000 for Q3 to date. We have sold, as Ludovic just mentioned 4 vessels. The Iris, Hakata & Hakone has been delivered to the new owners, and the Sofia will deliver in the fourth quarter of this year. You can see our OpEx P&L breakevens on the right side of this slide. We also like to point out to some important indicators for the market. You can see on the right side of the slide that there are some indicators on the demand side that are positive in green, like world oil demand, which is growing slightly supply from OPEC and non-OPEC countries, OECD crude oil stocks and then definitely the tanker fleets, which definitely in the short term is only going to grow by a very small amount. There are some negatives on U.S. crude oil exports, China oil imports and then the global crude oil floating storage, which are all down. Looking at the midterm tanker markets. I'd like to talk about the supply of oil and the supply of ships. Starting on this slide with the supply of oil, you have all been following the OPEC+ cuts since 2022. They started off with cutting 2 million barrels per day, then 1.6 million barrels per day. And then the last one was 2.2 million barrels per day. In recent months, this has been turned around, and we are expecting by October that this voluntary second cut of 2.2 million barrels will be totally reversed. If that happens as per plan, and we are seeing some signs already of increased volumes, this will obviously be positive for the tanker markets, more oil coming out, more oil on VLCCs should support our markets. Moving forward to the next couple of years, if we take the IEA forecast, you will see that the gap between supply and demand will be in favor of supply. So there will be more oil; more oil means more storage, more oil should mean also lower prices, which could be very supportive for our tanker markets. If we're looking at the vessel side, so the supply side of the ships, it's becoming a bit of a mixed story, whereas the last 2, 3 years, we didn't see any newbuilding orders for crude oil tankers and the order book was very low, we have seen an uptick in the order book over the last 6 months, also a little bit last year. And the Suezmax order book to fleet now stands at 19%. The VLCC order book to fleet at 14%. In the short term, we still see that there's very few ships coming to the market. But as from the second half of next year, we will see a pickup and more vessels coming to the market. That contrasts a bit with a more fundamental analysis of the age of the fleet and the scrapping and recycling potential. When we look at the age of the fleet, by 2030 40% of VLCCs and 40% of existing Suezmaxes will be older than 20 years. So there's a lot of potential to scrap and recycled vessels. So it will be interesting to see in the next couple of months on how the slightly increased order book will match with potential recycling and whether that will be in balance. Of course, we need to talk about dry bulk as well. Bocimar, our dry bulk division, has become our biggest division. The picture you see on this slide is not a picture of the ship, but the picture of the very first ammonia engine that will be installed on one of our Newcastlemaxes beginning of next year. So in Bocimar, we split it for this quarter in two between Cmb.Tech and Golden Ocean because it was, of course, a transition quarter. On the Cmb.Tech side, we have 17 Super-Eco Newcastlemaxes on the water, another 11 that needs to deliver. We achieved time charter equivalent through our fleet of $23,000 net and Q3 TCE to date stands at $8,000 net. On the Golden Ocean side, we're talking about 89 vessels on the water. It's 18 Nukes, 41 Capes and the rest are Kamsarmaxes and Panamaxes. We achieved in the second quarter for the Newcastlemaxes $18,500 a day. Q3 today, it sits at $23,500. And for the Kamsarmaxes and Panamaxes, the number is $10,500 and $13,500. Golden Ocean sold 3 vessels recently, the Golden Keen and Golden lonari as Ludovic said, already were delivered to their new owners and the Golden Zhoushan will deliver in Q4. Indicators on dry bulk on the right side of the slide, a lot of green indicators. On the demand side, we see the China steel mill utilization, which is good and inventories have come off tremendously, which is usually a good sign for extra demand. Iron ore inventories are down as well. Iron ore imports, on the other hand, are starting to increase. And then Brazil and Australia, and I'll talk about that in a second exports on iron ore are also up. The only negative and there is specifically for China is that the coal imports are down by 8%. Fleet supply, we are looking at a number of fleet increasing of 2% to 3%. Looking at the long-term dry bulk market attractiveness. You can see on the supply side, the left side of the slide, that we are way below historical averages in terms of deliveries today but also in the next couple of years. Average age of the fleet is high. We're at close to 12 years. order book of 9.4% is low. And when we look at the fleet composition, you see that there are already 113 capes that are older than 20 years. Another 500 will turn 20 years in 5 years from now versus 150 capes on orders. So this is all very supportive. There are some extra elements that are supporting the supply story. One is that 500 capes need to dry dock in '25, '26 and '27. That's basically on an annualized basis, 2% of capacity that is taken out of the market in these years. and then a recurring theme, the environmental legislation, which is becoming more stringent, will definitely impact Capesize and Newcastlemax speed and availability. When we look at the demand side, we see that iron ore in China domestically, the production is going down, meaning that the Chinese are importing more iron ore, we see extra supply of iron ore coming on stream in areas in Australia, Brazil and of course, Guinea which we have discussed in previous calls already, with an iron ore price, which is still very much supported. So if we look at that, there is still a positive sentiment for the global mining of iron ore. Adding to the demand side, we have the bauxite story, and I have a slide on that in a second, and also the grain, which are positive and show very healthy growth numbers. Here you see a slide on Brazilian iron ore trade. What we wanted to highlight here is showing that the seasonality with the bad weather, of course, always impacts iron ore exports out of the Atlantic but now that the bad weather should be behind us, we will see an uptick in iron ore volumes coming out of Brazil. Even with the bad weather, we did see numbers that are at 5-year highs. So that's definitely supporting our markets. I think same thing can be said on the pacific iron ore. We have shown some more data on specific producers like BHP and FMG. When we look at what they have already produced and what they have as targets for the year, this should definitely be supportive for our market and has already supported the market in recent months, as you have seen with rates increasing. And then on Guinea, I think this will definitely be a team that we will discuss in every quarterly call because we had the bauxite trade which was already very important for the Capesize and Newcastlemax market, and we will add to that hopefully end of this year and definitely next year, all the iron ore volumes coming from Simandou. So also very supportive. And this, as you know, from a ton mile perspective is definitely supportive for the Capesize story. Coal and grain. So negative on coal, positive on green. You can see that the stock inventories in China are at record highs for the last 5 years. The Chinese are producing more coal domestically, also more coal coming from Mongolia. And so there's less Chinese coal being imported as we speak today. The story globally is a little bit more positive, but overall coal trade, seaborne coal this year will have a contraction. On the grain trades, we are seeing positive numbers. And even though technically, it does not affect our Capes and Newcastlemaxes directly, it does affect them indirectly through the Kamsarmax and Panamax markets and, of course, very important for our Kamsarmaxes and Panamaxes that we have from Golden Ocean. I want to move to the Container division. Not a lot to be said on the container division in terms of the activities of Delphis, as you know, our fleet is fully fixed. We are waiting for the delivery of one more newbuilding next year in July. What I can say about the market is that we see a clear softening trend on the spot freight rates even though the time charter market is still very well supported. What we like a little bit less about the container market is the high order book, but that doesn't mean that we will not look at new projects with some of our close customers because there is still demand for certain sizes, specifically the feeder sizes. On the chemical tanker side, we have a fleet today of 6 vessels on the water. We have another 2 chemical tankers delivering to us in the next couple of weeks and months. And then in 2026, we take delivery of two bitumen tankers. And in '28 and '29, we will take delivery of our ammonia ready and ammonia fitted chemical tankers with our long-term time charters. As you know, most of our chemical tankers are fixed long term, we have only 2 ships that are operating on the spot market through the pool. And you can see the results in the pool in the second quarter were very satisfactory. We were at 22,000. The number you see for the third quarter was for the month of July. But meanwhile, rates have been ticking up a little bit higher. So we're expecting Q3 to come in higher than that number. The big element on the chemical tanker markets will be what the MRs will do and how the MR and chemical tanker markets will relate to each other. Ending with our offshore wind division and Windcat, you see a beautiful picture of our Windcat Rotterdam. For some of you who are dialing in, who were in Singapore yesterday, we have officially introduced and presented the Windcat Rotterdam to the broader public. That is our very first CSOV on the water with another 5 to come. Activities in Windcat, we have 56 CTVs on the water, another 7 are on order. Our CSOVs, I just said, we have 1 delivered and 5 that are coming. We see the market on offshore wind, oil and gas as healthy. We haven't seen the typical decline towards the end of the summer. The market is still very much okay as we speak. Our utilizations were very good. And you can see the numbers that we have achieved both on time charters and what our breakeven rates are. On the CSOVs, we are seeing interest both from offshore wind projects, but also of oil and gas projects that need good and modern vessels to support their operations, and we are expecting these trends to continue in the following months. This is a summary. We are positive on tankers and dry bulk. This is also where our biggest spot exposure stands. We are cautious, that has not changed compared to the last quarter on containers and chemicals. That does not mean that we will not look at projects, but we will make sure that these projects then are secured with time charters. And then on offshore wind, we are still very positive. There's still a lot of capacity being built, we see healthy demand in that market. Concludes. We discussed our numbers. Our loss in the second quarter, the blended loss between Cmb.Tech and Golden Ocean was $7.6 million. Very important and very happy and satisfied that we could complete the Golden Ocean merger last week. We have all three listings. So very happy that we now have more and more reason to go to Oslo, and we have declared an interim dividend of $0.05. Our portfolio stands, as you know, with our contract backlog with our modern fleet and very important with our decarbonization optionality, providing additional upside potential for our earnings. Looking ahead, we are positive for tankers and dry. We have our long-term contracts and future-proof tonnage that is gaining further traction. And then on the chemical and container markets, as you know, we have covered most of our exposure. We've added a slide with our newbuild delivery fleet list, 44 or 45 vessels with all the delivery dates. You can go through that at your leisure, but it's still a significant fleet to be delivered in the following quarters. And with that, I would like to end this part and hand it over to Enya for the Q&A.
Enya Derkinderen: [Operator Instructions] I see [ Evan Coscard ] wants to ask a question. You can now unmute and ask your question, please.
Unidentified Analyst: So Evan Coscard, Clarksons Securities. So starting with the dividend, I think someone was quite surprised that you're reinitiating dividends. So how should we interpret that dividend payment? Is it primarily intended to satisfy the Golden Ocean shareholders? Or is it something that we could see more of in the next coming quarters like a recurring dividend of $0.05 per share?
Ludovic Saverys: Thanks, Evan. I'll take that question, Alex. I think this is -- the Board has decided that we wanted to pay dividends. We will do that every quarter and analyze basically our balance sheets, our P&L, our cash flow needs and then decide how we can reward our shareholders or also continue to invest in newbuildings or opportunities. So it is not that we have now a fixed $0.05 payout initiated, we have a full discretionary policy. But as previously said on earnings calls, we like dividends. We have paid them quite a lot in the previous quarters. And now we believe after the merger that we can pay this $0.05 dividend for the Q2 results.
Unidentified Analyst: Okay. And over to more of a strategic question. So you've finished the Golden Ocean merger, so what do you think will be the focus for the company in the next few quarters because you've got a large tanker fleet and the dry bulk fleet. Are there other -- any of the other segments that you are looking to do some things about? Or is it just business as usual, selling assets and ordering new ones if you find great opportunities?
Alexander Saverys: Well, it's going to be, indeed, business as usual. We have five divisions that we like a lot. If we see opportunities in the five divisions, we will take them. Of course, the focus will also be to integrate this fleet properly. A lot of work needs to be done now operationally, technically making sure that all our platforms can be put together. But even with the size that we have and the scope that we have, if there are any good large opportunities that we see, we will definitely investigate it.
Enya Derkinderen:
Q - Kristof Samoy:
Kristof Samoy: Yes. Kristof Samoy, KBC Securities. Maybe first for Ludovic. Is there something you can share some more detail you can share regarding the timing of the ongoing refinancing post merger with Golden Ocean? Any insights there you could share regarding the target LTVs and potential change in covenant structure. And then second question, maybe for Alexander. What's your take? How do you gauge the U.S. presidential action against the expected stricter greenhouse gas rules of the IMO? And do you see already impacts on your pipeline for potential long-term charter conclusions and particularly for dry bulk. And then finally, on SG&A, could you give like the normal quarterly run rate, excluding the deal and merger fees going forward for the pro forma group.
Ludovic Saverys: Yes. Great. Thanks, Kristof. I'll start with the refinancing. So we have refinanced the whole Golden Ocean fleet. We had refinanced the former tanker fleets when we did the last M&A on the Euronav. All the newbuilding files and the modern vessels, we have roughly 8 to 10 facilities on bilateral club deals, smaller sizes. So all of these have been concluded. And as I mentioned, on the remaining CapEx of the $1.86 billion actually $1.6 billion has been signed or is being implemented on the ships. So the heavy lifting on the financing and the refinancing of our fleet, has been done. So that is good. We have aligned a new set of covenants together with our banks, where we are stepping away from the book equity on total assets, which was a relatively sharp as you've seen in the last earnings releases to a value adjusted equity. So that has been implemented already throughout all the facilities, except for the Norwegian bonds for the moment. So that is on the financing, we're all set there. On the SG&A, just to pick up on the last question you asked to Alexander. Obviously, our SG&A has grown by the growth of the sheer size of the company. But there is obviously some exceptional costs that we have had with the prolonged M&A activity in the last 3 years due to legal fees, financial advisory fees, refinancing fees as well play in there. To give an actual run rate, the only sensible question -- answer I can give is going to be lower than what we see today in the second quarter. But as Alex mentioned, let's take the time now in the next 6 months to put all the platforms together, not just run them operationally to -- as a well-run platform, sorry, but also see where we can optimize the costs on SG&A.
Alexander Saverys: And then on President Trump, thank you very much, Kristof, for asking easy questions. Look, you read in the press, what I read is that apparently, U.S. interests will try to pressure people to vote against what we call the IMO 2028 regulations of reducing greenhouse gas emissions. It is very, very difficult to analyze today or to say something sensible about what the impact is going to be in October because this is, of course, a political game, but there's more than 170 countries that can vote in the IMO. Last time around, it was voted with a small group of countries because a lot of people did not attend the vote. This time, they all need to attend. The jury is out. It could go both ways. But I would not interpret the resistance by the U.S. as it is not going to go through. There's a lot of different interests at play in the IMO. So we still think there's a very good chance that this regulation will indeed pass but we'll know beginning October, whether it did or did not. Impact on our customers, I have to say that people that we are talking to about ammonia and hydrogen-powered ships have not changed their view since President Trump came out in opposition of the IMO regulations. So that has not changed.
Ludovic Saverys: It would actually be the oppositive, where if the IMO would go through in October, this will be a catalyst for us to have renewed and higher interest for long-term charging opportunities.
Enya Derkinderen: Okay. Then [ Kimo Molez ], you can unmute and ask your question now, please?
Unidentified Analyst: Following up on Evan's question, I also wanted to ask a bit about your fleet composition. Golden Ocean had a generally modern fleet, but the merger has also added some middle aged Panamaxes and Capesizes. Could you talk a bit about your stance towards those vessels as well as to the older tankers already in your fleet? Should we expect the sale of a significant number of those assets over the coming quarters?
Alexander Saverys: Well, as you know, we want to operate a modern fleet. So fleet rejuvenation will always be part of our strategy. If we see a good price for an older vessel, we will sell it. if we see interesting newbuilding opportunities, we will go for it. If we see good modern secondhand tonnage, we will go for it as well. The thing I always say, when we talk about this, this will not be done at any cost at any time. we will look at the price. We will look at where we are in the cycle. We will look at the counterparts. You saw that we just recently sold the Suezmax of 15 years old at $40 million. That is, for us, a very sound deal to do because it rejuvenates our fleet, but we're also getting a very interesting amount of money for that vessel. In short, [ Kimo ] , if I can say, we like to operate a modern fleet. The older vessels in the Golden Ocean fleet could be for sale, but not at any price, and we are not going to set a target or a time line on that.
Unidentified Analyst: Makes sense. And I also wanted to ask about the contract you signed with Fortescue for ammonia-powered Newcastlemax. Should we expect the vessel to burn ammonia since the getgo? To what extent is the infrastructure for bunkering already there?
Alexander Saverys: Good question, which I cannot answer right now. We are working very hard to make sure that we can bunker the first vessels that are coming out of the yard. As soon as we have news on that, we will make that public. But it is our aim, to have that ship powered by ammonia. It's also FMG's or Fortescue's aim to have the vessel powered by ammonia. A lot will depend whether the molecules will be available and whether the bunkering operation can work. We think it can -- but it's a little bit too early to confirm, that already set in stone today.
Enya Derkinderen:
Q - Axel Styrman:
Axel Styrman: Axel Styrman from Kepler Cheuvreux. I have two questions. Regarding the growth in the iron ore volumes from Africa, in particular, during '26 and '27. Do you expect these volumes to replace existing volumes? And if so, from where? Second question relates to potential share buybacks, given that the stock is trading at a significant discount to the net asset value. Is this something you would consider?
Alexander Saverys: Okay. I'll take your first question, and I'll hand it over to Ludovic for the second one. So do we think the iron ore volumes will replace other volumes? The answer is the market is not good, probably yes. If the market is supportive, I think all the volumes that we have sketched in our presentation can live next to one another. So the price of iron ore will be an interesting element to follow, whether the Guinea volumes will push out, for instance, Brazilian volumes or will compete with Australian volumes. So far, what we are expecting, and it's not only us, but also the analysts is that this will be a net positive for our market.
Ludovic Saverys: Yes. And on the share buyback question, Axel, share buybacks are one tool to reward shareholders and are a different way of distribution. However, we have to say in every big merger, there is a natural rotation of capital where you had maybe previous Golden Ocean shareholders, previously Cmb shareholders, Cmb.Tech shareholders that take a position and rotate their share register. So we will always analyze this. But for us, the most important is that we have closed the merger. We have given certainty to all our shareholders now of the way to go. And we will let now a couple of quarters, let the number do the talking. See what operational leverage that we have as a company, how we can integrate all the fleets, enjoy the positioning that we have on the tanker and dry bulk markets. And then like always, value will start floating up, but share buyback is always one of the possibilities.
Enya Derkinderen: I don't see anyone raising their hands anymore, and there are also no questions in the Q&A. Daniela De Lorenzo, you can now unmute and ask your question.
Unidentified Analyst: Daniela De Lorenzo, ShippingWatch. I am happy to see you coming to Oslo then next time. I have a question in regard of the shadow fleets in relation to the slide on the midterm tanker markets. I just wanted to know how do you factor the shadow fleet when it comes to the scrapping, what do you think is going to be the results on the supply side and demand?
Alexander Saverys: Thanks, Daniela. The short answer is we would like to see this shadow fleet disappear from the market as soon as possible. First, they are involved in an illegal trade. Second, they are very old and questions can be asked about the maintenance and the insurance of these vessels. So clearly, the sooner these shadow fleets disappears from the market, the better for us. But we have to be realistic. We know about the shadow fleet since many, many years, even before the Russia-Ukraine war, you see that it is very difficult to push these ships out of our market. They are there. They have actually, over the last couple of years, cannibalized the white market or the official market. And so I think it would be naive to think that these ships will disappear overnight. One thing which is working to our advantage, I would say, is that these ships have been under sanctions now for a very long time. and will become increasingly more difficult to operate just because of out of maintenance reasons, insurance reasons and breakdowns that will eventually happen. Are we counting on it? No. Are we hoping for them to disappear quickly? Yes. I hope that answers your question.
Enya Derkinderen: I don't see any hands at the moment.
Alexander Saverys: Okay. Well, then this closes our call. Thank you very much for joining us. And if you have any questions, you can reach out to us and to my colleague Joris Daman. Thank you very much. Bye-bye.